Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Allison Transmission's Second Quarter 2017 Earnings Results Conference Call. My name is Melissa, and I will be your conference call operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, the management team from Allison Transmission will conduct the question-and-answer session, conference call participants will be given instructions at that time. As a reminder, this conference is being recorded. I would now like to turn the call over to Mr. Fred Bohley, the company's Vice President of Finance and Treasurer. Please go ahead, sir.
G. Frederick Bohley - Allison Transmission Holdings, Inc.: Thank you. Good morning and thank you for joining us on our second quarter 2017 results conference call. With me this morning is Larry Dewey, Allison Transmission's Chairman and Chief Executive Officer; and Dave Graziosi, Allison Transmission's President and Chief Financial Officer. As a reminder, this conference call, webcast and presentation we are using this morning, are available on the Investor Relations section of our website, allisontransmission.com. A replay of this call will be available through August 8. As shown on page 2 of the presentation, many of our remarks today contain forward-looking statements based on current expectations. These forward-looking statements are subject to known and unknown risks, including those set forth in our second quarter 2017 results press release and our annual report on Form 10-K for the year ended December 31, 2016, and uncertainties and other factors as well as general economic conditions. Should one or more of these risks or uncertainties materialize, or should underlying assumptions or estimates prove incorrect, actual results may vary materially from those we express today. In addition, as noted on page 3 of the presentation, some of our remarks today contain non-GAAP financial measures as defined by the SEC. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures attached as an Appendix to the presentation and to our second quarter 2017 results press release. Today's call is set to end at 8:45 AM Eastern Time. In order to maximize participation opportunities on the call, we'll take one question from each analyst. Please turn to slide 4 of the presentation for the call agenda. Now I'll turn the call over to Larry Dewey.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Thanks, Fred. And for those on the call, good morning and thank you for joining us. On today's call, I'll provide you with an overview of our second quarter performance, including net sales by end market. Dave Graziosi will review the second quarter financial performance. I'll wrap up the prepared materials with the 2017 guidance update as well as some additional comments prior to Q&A. We are pleased to report Allison's second quarter 2017 results exceeded the full year guidance ranges we've provided to the market on April 26, principally driven by stronger than anticipated demand for North America Service Parts and North America On-Highway products. Allison also demonstrated solid operating margins and free cash flow, while executing its well defined approach to capital structure and allocation. Please turn to slide 5 of the presentation for the Q2 2017 performance summary. Net sales increased 22% from the same period in 2016, principally driven by higher demand in the Service Parts, Support Equipment & Other, and Global On-Highway and markets. Gross margin for the quarter was 50%, an increase of 220 basis points from a gross margin of 47.8% for the same period in 2016, principally driven by increased net sales and price increases on certain products, partially offset by higher incentive compensation expense. Please turn to slide 6 of the presentation for the Q2 2017 sales performance summary. North America On-Highway end market net sales were up 13% from the same period in 2016 principally driven by higher demand for Rugged Duty Series, Highway Series, Transit and Other Bus models partially offset by lower demand in Pupil Transport and Shuttle models. North America Hybrid-Propulsion Systems for Transit Bus end market net sales were down $1 million from the same period in 2016, principally driven by the timing of certain transit property orders. North America Off-Highway end market net sales were up $4 million from the same period in 2016, principally driven by higher demand from hydraulic fracturing applications. Defense end market net sales were up $2 million from the same period in 2016, principally driven by higher demand for Tracked Defense products. Outside North America On-Highway end market net sales were up 15% from the same period in 2016, principally driven by higher demand in Asia and Europe. Outside North America Off-Highway end market net sales were up $7 million from the same period in 2016, principally driven by improved demand in the China energy sector. Service Parts, Support Equipment & Other end market net sales were up 53% from the same period in 2016, principally driven by higher demand for North America Off-Highway service parts, North America On-Highway service parts and Global Support Equipment. Now, I'll turn the call over to Dave Graziosi.
David S. Graziosi - Allison Transmission Holdings, Inc.: Thank you, Larry. Please turn to slide 7 of the presentation for the Q2 2017 financial performance summary. Given Larry's comments, I'll focus on other income statement line items and adjusted EBITDA. Selling, general and administrative expenses increased $10 million from the same period in 2016, principally driven by higher incentive compensation expense, increased commercial activity spending, and higher stock-based compensation expense. Engineering, research and development expenses increased $3 million from the same period in 2016, principally driven by higher incentive compensation expense and increased product initiatives spending. I would like to provide some additional information regarding incentive compensation expense to ensure the second quarter year-over-year variances mentioned during this call are clear. As we have discussed in the past, Allison's incentive compensation program is subject to annual performance targets established by our board of directors' Compensation Committee, and is therefore variable. As a result of our full year 2017 guidance update, exceeding Allison's annual performance target and the ranges provided to the market on April 26, our incentive compensation accrual rate is higher than the same period in 2016. Interest expense net decreased $1 million from the same period in 2016, principally driven by refinancing transactions and favorable mark-to-market adjustments for our interest rate derivatives, partially offset by interest expense for our interest rate derivatives that became effective in August 2016, and interest expense for our revolving credit facility borrowings. Income tax expense for the second quarter of 2017 was $51 million, resulting in an effective tax rate of 35% versus an effective tax rate of 38% for the same period in 2016. The decrease in the effective tax rate was principally driven by increased U.S. income tax deductions and discrete activity related to the excess tax benefit from stock-based compensation. Net income for the second quarter of 2017 was $95 million, compared to $61 million for the same period in 2016. The increase was principally driven by increased gross profit, partially offset by increased income tax expense, selling, general and administrative expense, technology-related investment expense, and engineering, research and development expense. Adjusted EBITDA for the second quarter of 2017 was $225 million or 38.8% of net sales, compared to $173 million or 36.5% of net sales for the same period in 2016. The increase was principally driven by increased net sales and price increases on certain products, partially offset by increased incentive compensation expense, manufacturing expense commensurate with increased net sales, commercial activity spending, and product initiatives spending. Please turn to slide 8 of the presentation for the Q2 2017 cash flow performance summary. Net cash provided by operating activities decreased $4 million from the same period in 2016, principally driven by increased accounts receivable commensurate with increased net sales, increased cash income taxes, and increased cash interest expense, partially offset by increased gross profit and higher accounts payable. Adjusted free cash flow decreased $3 million from the same period in 2016, principally driven by decreased net cash provided by operating activities. During the second quarter, Allison continued executing its well-defined approach to capital structure and allocation by settling $124 million of share repurchases and paying a dividend of $0.15 per share. We ended the quarter with a net leverage of 3.16, $85 million of cash, and $227 million of revolver availability, and $399 million of authorized share repurchases capacity. Now I'll turn the call back over to Larry.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Thanks, Dave. Please turn to slide 9 of the presentation for the 2017 guidance update. Given our second quarter 2017 results and current end market conditions, we are updating our full year 2017 guidance as follows. Net sales up in the range of 15% to 17% compared to 2016. Adjusted EBITDA margin in the range of 35.5% to 36.5%. Adjusted free cash flow in the range of $485 million to $505 million. Capital expenditures in the range of $85 million to $95 million, which includes maintenance spending of approximately $80 million and cash income taxes in the range of $80 million to $90 million. Allison's full year 2017 net sales guidance reflects stronger demand for North America Off-Highway service parts, North America On-Highway products, Global Off-Highway products, and assumes price increases on certain products. Although we are not providing specific third quarter 2017 guidance, Allison does expect third quarter net sales to be up from the same period in 2016, principally driven by increased demand for North America On-Highway products, North America Off-Highway service parts and Global Off-Highway products. Before opening up for Q&A, I'd like to spend a few minutes addressing a topic that has been in the news a fair amount lately. I'm referring to the subject of electrification, and specifically, I'll address Allison's significant history with electrification and commercial vehicles and how we are intelligently moving forward in this space. As a point of background, my dad and a number of the best bosses that I've had over the years shared a philosophy, perhaps best expressed by Jack Smith, the former Chairman and CEO of General Motors, counsel to me expressed simply as deeds not words. It's not our culture here at Allison to touchdown dances nor pre-game boasting. We do our talking in how we play on the field. So allow me to begin with a game recap. As part of General Motors Corporation, Allison Engineering worked on the EV1 pure electric cars, they were released into the market beginning in the mid to late 1990s. Allison developed its first generation electric hybrid propulsion system in the several years leading up to our launch in late 2003. Our first prototypes were fielded in Orange County, California in 2000. You'll recall that Toyota's Prius have been selling worldwide since 2001 having been launched a few years earlier in Japan. Allison's electric hybrid system was the first ever developed for medium and heavy-duty commercial vehicles specifically targeted for transit buses. In the midst of our electric hybrid development, in 2001 and 2002 we also completed fuel cell development, resulting in a working fuel cell prototype in a transit bus. To-date we have sold more commercial vehicle electric hybrids than anyone in the world, approximately 10% more than our closest competitor, a large independent systems provider and roughly 70% more than the number of electric hybrid systems, a large Scandinavian truck and bus OEM has sold in their buses and trucks. We've sold and fielded our electric hybrid systems in at least the 194 city fleets in 14 countries around the world including 43 states here in the U.S., and we estimate that those fielded units have accumulated more than 750 million miles. Our current electric Hybrid, Transit bus product is second generation hardware in power electronics. We're currently developing our third generation focused on power electronics development and drive unit improvements. It may be well understood, but for those who may not be familiar with electric hybrid technology, Allison is the electric hybrid system integrator and controls the powertrain including the engine. As the powertrain system integrator, we're also the lead electrification integrator with the vehicle OEMs as well. Having demonstrated pure electric – we have demonstrated pure electric capability with our current architecture since 2008 in King County, Seattle. The range is tied of course to the battery capability including the state of charge, which is dependent on the battery capabilities dependent on different battery chemistries. And we're completing refinements to our electric Hybrid that would extend our electric-only range capabilities. With our electric Hybrid for Transit buses, we have also enabled electrification of accessories, IAP or increased accessory power Phase 1 in 2013, that focused on the controllable distribution of DC power supporting an electrified alternator in DC power to air conditioning, and IAP 2 in 2014 where we added controllable distribution of AC power including the air conditioning and supporting electrified power steering and air compressors. We partnered with Leonardo DRS in 2009 to develop transmission integrated generators for our 3000 Series and 4000 Series transmissions for onboard vehicle power to address the U.S. military's need for increasing electrical power for their wheeled combat and tactical vehicles and the Army's desire, to eliminate the logistics issues associated with auxiliary generators. We fielded some prototypes beginning in 2011, they've been delivered and continued to be demonstrated to various military agencies. There is a potential emerging U.S. Army requirement for the terminal high altitude area defense, the THAAD system, you perhaps read something about that recently for potential 2020 application. We've received additional interest from Oshkosh for the HEMTT which uses our 4000 Series and also the JLTV which uses our 2000 Series. In addition, the Israeli Defense Force has made some inquires relative to the Aton (16:43) Armored Personnel Carrier. In 2012, we entered into a cooperation agreement with Odyne including an Allison equity stake for an electric hybrid-propulsion and exportable power system that can be utilized with our 1000 Series, 2000 Series, 3000 Series and 4000 Series transmissions and there have been several 100 units sold since 2013. We have a long history of battery testing capabilities, going back to our original transit electric hybrid development activity in 1999 and 2000 when we were part of General Motors. Shortly after our sale from GM, we spent several million dollars for our own testing lab capabilities, enhancing what we're able to do there. And we've continued to invest capital and technical resources in both battery pack level and individual battery cell level testing capabilities. We've developed an electric hybrid variant for our 3000 series transmissions for truck applications, which is also scalable to our 4000 Series, prototypes were fielded with several utility and P&D customers, and we have not taken it to production as of this time due to insufficient commercial interest. Current 3000 Series transmissions are being used in pure or fully electric terminal tractors. Terberg terminal tractors operating in Munich and Leipzig, the SCHERM Group in Munich has been running the technology now for nearly two years. Balqon, out of California use the Allison 3000 Series in their Nautilus XE20 Class 7&8 Autocar based terminal tractor. And Allison has developed a systematic methodology to enable a pure electric developer to best utilize our current products as part of their offering in a document that we referred to as EM 84. And we've initiated discussions with a third-party regarding joint development work on a plug-in electric hybrid and as much as we know this party well, we believe discussions can come to fruition in the near-term and activity to initiate shortly thereafter. We think about the future, the way we talk about it around here is captured perhaps best by a quote from Wayne Gretzky, the great hockey player, and when he was asked the secrets of his success, he said I don't skate to where the puck is, I skate to where it's going to be. There is a lot being written as we all know, and I would reference a couple of recent articles that I think do a nice job. There is one in the 24th – it was published 24 July in Automotive World, it's an article that was interviewing Christoph Stürmer and then there is a 26 of July, Reuters article in response to the recent UK announcement. Our technology investments decision model focuses on leveraging our experience and expertise coupled with a targeted, research focus to guide our development activities. Some of the factors that we explicitly address include vocational applicability and stoodability (19:46) of the technologies being developed, our positioning with end users and OEMs and increasingly other third-parties and how we will win in the space being analyzed. And we define winning as delivering outstanding value propositions including meeting forthcoming regulatory requirements to customers in the end markets and locations we serve, while generating long-term appropriate and sustainable returns for our shareholders. Our focus includes not only electrification but also autonomous vehicles via our auto integration and auto optimization technology development initiatives, as well as a myriad of other customer driven technology enabled needs and wants for the near, medium and long-term. In terms of technology management, Allison's product engineering organization meets what we call product teams and our technology council, both are organizational constructs that have been operating successfully in Allison for many years, and involve cross functional collaboration. These product teams and the council are responsible for identifying product technology trends, developing technology roadmaps and driving appropriate implementation of new technologies to maintain or enhance the competitive market position of our products. The characterization, development and successful launch of new products including transmissions, ancillary systems and technical services, facilitating organizational development and protection of intellectual property, identifying engineering process technologies to reduce product development cycle time and costs, and further expansion of modeling and analysis capabilities into the processes of product concept selection, design development and vehicle integration. And regarding these process technology as well as modeling and analysis capabilities, some background and a couple of examples of the power and benefit of the capabilities we have developed and continue to grow here. Relative to the process technologies and simulation capabilities, we've spent a number of millions of dollars in many man and woman years increasing our simulation capacities including hardware-in-the-loop and software-in-the-loop, which should yield a very tangible results including a couple of examples here outside through our recently launched xFE transmissions, our stimulation models enabled us to utilize existing componentry to develop a more fuel-efficient transmission model with high – mid to high single-digits depending on duty cycle improvements in fuel economy. From concepts to demonstration in a test cell, to demonstration in a vehicle was about four months. Supplier facilitation was what really drove the timing on the launch there, our work was quite rapid. We did a new Off-Highway torque converter as part of our new Off-Highway energy models development activity and our new torque converter historically involved, what I call, the ugly three 3s, about $3 million, three rounds of hardware, and three years of development time. And with our newly developed simulation capabilities we made the new converter in three months with one round of hardware and for less than $100,000. With these capabilities, we can move from knowledgeable research to thoughtfully and intelligently targeting our product development from concept to start of production very rapidly and efficiently from a cost and capital perspective. We can also quickly pivot to take advantage of any technological advances. Here at Allison, we know our challenge is about and not or. It's not about near-term results or investing for the future. It is about near-term success in results and investing and positioning Allison for the future, a future of performance and return you'd come to expect from Allison. So to summarize, we worked on electrification for roughly two decades as noted in the numerous examples I cited earlier. We have in-depth research and product roadmapping. We plan our technology out years in advance. With the application of our simulation capabilities, we have significantly reduced our product development cycle time. We can get to market faster than ever before. The combination of our electrification experience and expertise, vocational knowledge, and product planning discipline, uniquely positions Allison to have the right products for the right customers at the right time. It's about both near-term performance and results, and investing for the future. We are well positioned, well equipped, and committed to do both. This concludes our prepared remarks. Melissa, please open the call for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. As a reminder, we request that you each ask one question. Thank you. Our first question comes from the line of Ian Zaffino with Oppenheimer & Company. Please proceed with your question.
Ian Zaffino - Oppenheimer & Co.: Hi. Great. Very good quarter. Thanks for the guidance and the details. I guess the question would be, I'm just kind of looking at the guidance here, and there is no real callout for North American Off-Highway, as far as maybe that recovering a little bit. The reason why I ask is just because the parts business has been so strong. I would imagine that the actual Off-Highway business will start to takeoff and that would be maybe incorporated into your guidance, or you've just not kind of seen the flow-through yet from parts to the actual business and selling the rigs?
David S. Graziosi - Allison Transmission Holdings, Inc.: Ian, it's Dave, good morning. In response to your question in terms of our guide, if you compare July to April, North America Off-Highway units as well as parts, our total guide is up about $50 million. And if you look at that breakdown, $24 million of it has already taken place in Q2, as you're implying there. So as we look at the second half, as we said before, our expectation when the cycle turned was demand relative to overhauls, the network taking place and ultimately couldn't (26:33) being redeployed at some level; once that process finished, you would see, obviously, demand for new units. We have, at this point, and I think you can certainly tell from public comments of a number of end users, that that guidance is consistent. So, as you think about our second half, yes, our guide is up for North America Off-Highway relative to frac. Having said that, we've certainly taken a view that the process will play out as we originally guided to, which is aftermarket first followed by new units. But we're not expecting a significant ramp in new units, as our guide implies for the second half.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Yeah. Just to add on a little bit there. If you go to the Halliburton, one of our large customers' call on 24 July. They talk about seeing strong incremental demand for completion equipment, and the fact that that demand has outpaced the supply of completions equipment, but they note that, as they started talking about new-build equipment, they indicated that there's several conditions that they would look for: backed by customer commitment, captures leading-edge pricing, and acceptable return on investment. They do say that therefore, some equipment replacement will be necessary over time, but I think it's a moderated approach, perhaps more so than past cycles, a little more discipline there. So, we certainly key off of them as one of our significant customers in the energy space.
Ian Zaffino - Oppenheimer & Co.: Okay. Thank you. And then just really, really quickly here. Just on the outside North America Off-Highway, you're calling out China, but what we've seen is other areas are improving as well. Are you just calling out China because really that's your largest concentration, or are you just seeing strength just solely in China?
David S. Graziosi - Allison Transmission Holdings, Inc.: For energy, it certainly is for China, I mean, I would say we have some indications of mining hauling picking up a bit, but understand that with channel check, inventories are still at a somewhat elevated level, so we've taken a moderate view in terms of any level of meaningful recovery there. But China continues to be, outside North America, our largest energy end market.
Ian Zaffino - Oppenheimer & Co.: Okay, perfect. Thank you.
Operator: Thank you. Our next question comes from the line of Tim Thein with Citigroup. Please proceed with your question.
Tim W. Thein - Citigroup Global Markets, Inc.: Thank you. Good morning, Larry. Thanks for all the historical context there. A question on North America On-Highway and just in terms of what the updated guidance assumes in terms your projected market share across some of the larger segments. I know this is typically the time of year – or I guess we passed it, but where you run some of the targeted programs for the vocational markets. So just curious what kind of acceptance and kind of follow-through you got there, and how that relates to the full year North America On-Highway guidance? Thank you.
David S. Graziosi - Allison Transmission Holdings, Inc.: Tim, good morning. It's Dave. We had, in terms of the view for North America On-Highway full year, our guide is about 13% for sales up year-over-year, full year. So we continue to, as you mentioned, a number of programs to grow our share relative to the vocational market, so I would assume there is some level of carryover in those activities, but our guide does not assume any significant changes in share. The market continues to be relatively strong in construction as well as some energy pull through as well. So we reflected that in the guide and again I think that's largely consistent with what you heard from public comments of other companies. So we're staying close to it. I would say the level of activity when you compare tonality with the number of the OEMs, I think stabilizing is probably good word to use as you think about the second half, I mean, there is a lot of comments out there ,I think, around peak or otherwise, I would say, the tone again back to what we've heard from a forecasting perspective is really focused on stabilization more than anything else at this point and again, keeping close to inventory levels as well.
Tim W. Thein - Citigroup Global Markets, Inc.: Right. Thank you.
Operator: Thank you. Our next question comes from the line of Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi. Good morning. I guess, two questions. One, Dave, I appreciate your commentary on the increased incentive comp that you talked about, but on a – and I think 22% sales increase, your incrementals while very good at 47% I think were still sort of well below where we were in the first quarter or maybe a little bit below what the market was expecting. So, I don't know if you can give a little more color on what the incentive comp headwind was. And then also when I think about your implied EBITDA margins for the back half of the year assuming your midpoint of margins are right, which are generally conservative, but still and implies margins are down year-over-year in the back half. So I am just trying to understand what's driving that. Thank you.
David S. Graziosi - Allison Transmission Holdings, Inc.: Sure. In terms of Q2 year-over-year, to your question on incentive comp, it's up about $12 million year-over-year. So, and as I said that again is tied to targets set by the our board, our guide certainly implies we'll exceed those targets. So it's $12 million year-over-year. We also had increased levels of activity both on the commercial side as well as you can expect on the manufacturing operations with higher volumes. So, as we think about the second half, to your question in terms of margin guidance there, certainly, understand as you know fourth quarter being one of our weaker quarters because of shutdown that's on a historical basis, also we have negotiations with the UAW in the fourth quarter. So, there is a number of period costs that will be attached to that activity as well. When you think about the other aspect of first half, second half, I would say certainly say there is more pricing improvement year-over-year in the first half then we're expecting in the second half. There are a number of reasons for that including mix in terms of some of the regional plants that we have. But overall, I think the margins as you tie back to conversion rate, they're still very attractive given the levels that we're running at.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Thanks. I'll get back in queue.
Operator: Thank you. Our next question comes from the line of Ross Gilardi with Bank of America Merrill Lynch. Please proceed with your question.
Ross Gilardi - Bank of America Merrill Lynch: Hey, good morning. Thank you.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Good morning.
David S. Graziosi - Allison Transmission Holdings, Inc.: Good morning.
Ross Gilardi - Bank of America Merrill Lynch: I just want to ask about the Hybrid, Transit Bus business in light of your commentary earlier. I mean, that's been a revenue line item that's been in kind of gradual decline for the last several years despite your long history with the technology and so forth. Given that you've got this next generation of products that you are preparing for, would you expect that that starts to inflect positively out the several next years, and then I got a follow-up question to that.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Sure. I would say that there are larger economic considerations than the product improvements that we're making. The product improvements are tied towards improving our relative competitive position in the space that there is, and you get down to the fuel cost, the operating cost, the life cycle value, what moneys, subsidies are available. Those factors tend to be the significant drivers. And I think, those articles I mentioned relative to electrification, do a nice job of both identifying the potential which has got everybody's focus here, as well as some of the challenges. And again, the challenges can be surmountable and depending on technology developments. One article I read talked about $100 per kilowatt hours is the tip over point. Well, it's currently at about $220. Tesla, who is not shy about projecting things has said, they can get to $190, so, okay, progress; but certainly not at the $100 per kilowatt hour. So the broader economic factors drive the size of the market. Our intention is within whatever context develops to be a relevant product offering that provides significant value to customers and be there system of choice.
Ross Gilardi - Bank of America Merrill Lynch: Thanks, Larry. And then, just following on to that, I mean, Allison is going to generate $500 million or so in free cash flow for the fourth year in a row, and clearly, there are some in the market that want to worry about electrification, what it means to your business? I mean, you spend a lot of that excess free cash flow, the most of it, on share repurchase. If you felt like maybe the market was developing in a way a little bit differently than what you're describing right now and you need it to have exposure to certain areas or technologies that you don't have right now. Are you taking more open attitude on acquisitions and partnerships, and that type of thing that might further broaden your portfolio and toolbox for customers?
David S. Graziosi - Allison Transmission Holdings, Inc.: Short answer is yes. And in a way that is well thought out and disciplined, certainly a major focus of our discussions with the board of directors.
Ross Gilardi - Bank of America Merrill Lynch: Thank you.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Thank you.
Operator: Thank you. Ladies and gentlemen, as a reminder, we ask that you please ask one question each. Our next question comes from the line of Ann Duignan with JPMorgan. Please proceed with your question.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Good morning.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Good morning.
Ann P. Duignan - JPMorgan Securities LLC: I guess, if I only have one question I'll ask it around the parts business. Sales increased roughly $50 million year-over-year. Could you break out how much of that was On-Highway versus how much was Off-Highway?
David S. Graziosi - Allison Transmission Holdings, Inc.: Sure, Ann. Just to take you through that quickly, vast majority, if you look at the change year-over-year for Q2 was tied with the Off-Highway business for North America. So, the balance we did see North America On-Highway service up as well, but the most significant change year-over-year was the North America Off-Highway parts business.
Ann P. Duignan - JPMorgan Securities LLC: Okay. And then just as a follow-up to that, how much visibility do you have into the back half for parts Off-Highway demand?
David S. Graziosi - Allison Transmission Holdings, Inc.: Again, as Larry mentioned, the number of our end users always provide us with forecast, that being said, those can change. I would say, I would not think of it as just parts, I would think of it as total sales to North America Off-Highway in the second half, i.e. units and parts. And if you look at our assumptions, as I mentioned with the guide, up about $50 million for full year, $24 million was in the second quarter. We do have some level of obviously increase in the second half but, again, we consider that relatively consistent with what we heard and again, we're prepared to supply if more of the demand is there. We certainly have taken steps over the last 6 months to 12 months to improve our ability to respond just given where the supply chain was, which was relatively low demand, this isn't a light switch event. So we are managing accordingly, and trying to provide more optionality for our end users.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I'll get back in line and follow-up. Thank you.
Operator: Thank you. Our next question comes from the line of Jerry Revich with Goldman Sachs. Please proceed with your question.
Jerry Revich - Goldman Sachs & Co. LLC: Hi, good morning, everyone.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Good morning, Jerry.
David S. Graziosi - Allison Transmission Holdings, Inc.: Good morning, Jerry.
Jerry Revich - Goldman Sachs & Co. LLC: Larry, thank you for the color on the electric opportunity for you folks. I'm wondering, if you could just talk about where do you see the content per vehicle opportunity for you in that electrification center for some applications. I guess, what's the range of outcomes, because I guess the concern is that we could be looking at a lower content per unit, if the market moves in that direction. So just maybe talk about what could be addressable components and content from an Allison standpoint depending on the range of potential outcomes for the market?
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Yeah. If you take a look and just to provide a little benchmark here today. If you take a look at the current electric hybrid systems that we provide that's about 25 times the revenue of the average transmission we provide, average selling price of a transmission we provide into the On-Highway space, now obviously that can change depending on the technological drivers. When we think about electrification, the first thing that we focus on is what is the capabilities of the battery technology because that will drive the usability of the product which in turn will drive the penetration, there's two overarching issues. One is the financial or the economics and the other is technology, and speaking plainly you can distort economics by either regulation or by incentives. But to gain significant penetration would require stunningly high, if you run the math, levels of incentives, and you ask yourself which government agencies have that kind of money laying around. So you can distort economics, what you cannot distort are the physics. You can try to accommodate them, but you cannot distort the physics. And so the – and the physics can affect the financials, if the vehicles are not as capable, then you need more vehicles to get the same amount of work done; that's the reality of it. So as we take a look at it, the first thing we focused on is the battery capabilities, which is why I mentioned the battery labs and we'll be amping that up, no pun intended, as we move forward. And then, the next thing we'll be focused on is the optimization of power electronics and the drive unit technology. Different systems have different capabilities, the most technically – people will talk about wheel motors, but that's very costly, so then you look at a central system that drives the vehicle, and that's where you take a look and say what motors and what drive units, how do you optimize that because motor capability, as we have learned, is not a linear function. It's a, I won't say exponential, but it's a geometric function, and so, depending on how you organize the technology, different drive units involved in the system can reduce the motor size, that's one of the things that the Terberg development has shown us. So, we're still sorting through, lot of folks are sorting through a lot of things, but our intention is to identify the optimized system. We've always been a system integrator and provider in the space and, based on that content, we'll expect to play in that space and have a role in electrified powertrains.
Jerry Revich - Goldman Sachs & Co. LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Nicole DeBlase with Deutsche Bank. Please proceed with your question.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Yeah, thanks. Good morning.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Good morning.
David S. Graziosi - Allison Transmission Holdings, Inc.: Good morning.
Nicole DeBlase - Deutsche Bank Securities, Inc.: So just – I know you guys gave the updated revenue guidance for North America On-Highway, but if you could go through any other segments where you're changing the full year revenue outlook?
David S. Graziosi - Allison Transmission Holdings, Inc.: Sure, Nicole. It's Dave. Quickly, let me just run through this, so North America On-Highway – these are all midpoints – 13%; North America Hybrid, Transit Bus 15%; North America Off-Highway about 240%; Defense 7%; On-Highway outside North America 4%; Off-Highway outside North America about 190%; and Parts, Support Equipment & Other about 27%, that should take you to a midpoint of approximately 16%.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Okay. Thanks. I'll follow the rules and pass it on.
David S. Graziosi - Allison Transmission Holdings, Inc.: Thanks.
Operator: Thank you. Our next question comes from the line of Larry De Maria with William Blair. Please proceed with your question.
Larry T. De Maria - William Blair & Co. LLC: Hi. Thanks, and good morning. As it relates to the Off-Highway parts, which you did discuss in some detail already. But can you clarify the overall parts mix from Off-Highway, obviously significant given what you said about the growth? And secondly, as we try to figure out where we are in the rebuild to cycle, can maybe you can help us understand maybe where we are now versus prior peaks? And if this can continue beyond this year, or if much of the fleet will be, obviously, refurbished by the end of the year, or if there's still room to grow? Thank you.
David S. Graziosi - Allison Transmission Holdings, Inc.: Larry, it's Dave. A couple of things, in terms of peak, I would certainly not describe our current expectations as peak. You'd have to go back a number of years to reach that point. I would say, as we think about, again, my earlier comment, I would not just think about North America Off-Highway frac activity as just parts, because there is a fleet that needs to be maintained, overhauled, and then ultimately moving to new rigs build. So, our guide, as we've pulled everything together, takes that collective view. It's not isolating one versus the other. I think it's broadly following the sequence that we talked about before, which is overhauls leading to new rig builds. But if you look at our total North America Off-Highway guide for this year as a package, again, we are still not back to peak levels. The last peak that we had really dates back almost four or five years at this point. So I mean, it's quite a while. Now that being said, the real question, I think, that needs to be answered is, what's the size of the fleet going forward. And again, our guidance assumes that the current rig levels, in terms of total count, is consistent with that view going forward. So we're not assuming a return back to several thousand rigs, which was last peak. I think it's fair to assume it's probably somewhere between where we sit today and where that last peak was. But again, if we had that answer, I think we'd probably have a different outlook on life. So overall, we'll see how the market develops here in the second half, and again, staying as close to our end users as possible, as Larry said, and making sure that we're prepared to supply when demand is there.
Larry T. De Maria - William Blair & Co. LLC: That's great. Thank you.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: One thing that layers on top – this is Larry – one thing that layers on top of the normal cycle, if you will, of rebuild, overhaul, and new units is, with the introduction of our new models, we have also introduced a number of upgrade kits that allows the end users to, owners of the equipment to upgrade to the newer model configurations and of course with the amount of fielded equipment out there, that's another lift that is occurring here and that people are kind of working through that as they move forward, and that will continue for a while here.
Larry T. De Maria - William Blair & Co. LLC: Great. Thank you, very, very much.
Operator: Thank you. Our next question comes from the line of Seth Weber with RBC Capital Markets. Please proceed with your question.
Seth Weber - RBC Capital Markets LLC: Hey. Good morning, everybody.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Good morning.
David S. Graziosi - Allison Transmission Holdings, Inc.: Good morning.
Seth Weber - RBC Capital Markets LLC: I'm just wondering to your pricing comment, I think last quarter you talked about a 100 basis points of pricing expectation for the year, it'll (47:49) fade towards the back half of the year. Is that still the way you're thinking about it about 100 bps?
David S. Graziosi - Allison Transmission Holdings, Inc.: Yes. I think, we'll apologize for our performing on that one, but I'd say the expectation is we'll do a bit better than 100 basis points, but as I said earlier and you just repeated again, we would expect some of that to tail off in the second half on a year-over-year basis.
Seth Weber - RBC Capital Markets LLC: Okay. And then if I could just ask a quick follow-up. Are you seeing anything of note with bottlenecks in the supply chain that you'd call out or things are kind of behaving pretty well?
David S. Graziosi - Allison Transmission Holdings, Inc.: No. As I said earlier, I think, we're – at least North America OEMs and I would say globally we're not aware of anything that's really standing out in terms of pinch points. Having said that, I think, you're always going to see those near-term issues potentially, but nothing that's dislocated as I think prior cycles have been. I think, it seems to me that the supply chain is pretty well capacitized at this point to manage the day rates that the OEMs would like to run, but – again, for the On-Highway business. So Off-Highway, as we've talked about, as I mentioned, we continue to make some level of investments there in terms of the ability to actually respond to demand on a near-term basis, understanding that those are much lower volumes than the On-Highway business. So, I think there is certainly a difference there. But it's at this point something we're able to manage with.
Seth Weber - RBC Capital Markets LLC: Okay. Thanks. That's all I have. Thanks very much guys.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Thank you.
Operator: Thank you. Our next question comes from the line of Joe O'Dea with Vertical Research Partners. Please proceed with your questions.
Joseph John O'Dea - Vertical Research Partners LLC: Hi, good morning. When we look at some of the On-Highway performance by end markets, and then relative to your exposure in some of those, it seems like we might have seen a little bit of outperformance recently. But sometimes it's tough to gauge just based on timing of things. So, could you speak to where you think your performance is relative to the market, the degree to which we have seen some of that? How much of that is adoption of technology or other things that we could be seeing in the market?
G. Frederick Bohley - Allison Transmission Holdings, Inc.: Hi, Joe. This is Fred. Specifically, as you said, it's always tough to gauge quarter-to-quarter outperformance. But I think if you looked at our North American On-Highway business and lay that down compared to the ATP production numbers, that would suggest some element of outperformance. As Dave mentioned, we do have some price there as well. And I think if you looked in Europe, the defense portion of the wheel business in Europe continues to be strong, last year was very strong, it might be down slightly, but continues to be a strong piece of the book there. So I think in total, there certainly – probably is some outperformance. We really just run share though once a year, and we'll publish share when we come out with the full year results in February.
Joseph John O'Dea - Vertical Research Partners LLC: Okay, great. Thank you.
Operator: Thank you. Our final question for today comes from the line of Mike Baudendistel with Stifel. Please proceed with your question.
Michael James Baudendistel - Stifel, Nicolaus & Co., Inc.: Thank you. And thanks for squeezing me in. I am just wondering if you can provide any comments on how you might be impacted by a potential Volkswagen acquisition of Navistar, I mean, Navistar is about 9% customer, I am not sure how large of a customer Volkswagen is, but any thoughts you can give us to help us think about that will be great.
David S. Graziosi - Allison Transmission Holdings, Inc.: Sure, this is Dave. As you know we are certainly a meaningful supplier to Navistar as well as VW globally, so we continue to work with those organizations. I think we're well placed and positioned as part of their portfolios. And I think, again as Larry mentioned, we continue to invest in technology to deliver more value to end users. So our focus is really delivering the best product that we can and ultimately, the Allison promise. So I would not per se distinguish between the OEMs in that regard, I think the fact is we'll see how that relationship evolves between those two organizations, but it certainly not change the way that we interact with them. We continue to drive our process forward and the value for end users.
Michael James Baudendistel - Stifel, Nicolaus & Co., Inc.: Got it. Thanks very much.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Thank you.
Operator: Thank you. Ladies and gentlemen, we have come to the end of our time for questions. I'll turn the floor back to Mr. Dewey for final comments.
Lawrence E. Dewey - Allison Transmission Holdings, Inc.: Well, I appreciate everyone's time this morning, I appreciate the interest in preparation in terms of the questions. We look forward to next quarter's call. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.